Operator: Hello and welcome to the Boyd Gaming Third Quarter 2022 Conference Call. My name is Alex, and I will be coordinating the call today. [Operator instructions] I will now hand over to your host Josh Hirsberg, Executive Vice President and Chief Financial Officer. Please go ahead, Josh.
Josh Hirsberg: Thank you, Alex. Good afternoon, everyone, and welcome to our third quarter earnings conference call. Joining me on the call this afternoon is Keith Smith, our President and Chief Executive Officer. Our comments today will include statements that are forward-looking statements within the Private Securities Litigation Reform Act. All forward-looking statements in our comments are as of today's date and we undertake no obligation to update or revise the forward-looking statements. Actual results may differ materially from those projected in any forward-looking statement. There are certain risks and uncertainties, including those disclosed in our filings with the SEC that may impact our results. During our call today, we'll make reference to non-GAAP financial measures. For a complete reconciliation of historical non-GAAP to GAAP financial measures, please refer to our earnings press release and our Form 8-K furnished to the SEC today and both of which are available at investors.boydgaming.com. We do not provide a reconciliation of forward-looking non-GAAP financial measures due to our inability to project special charges and certain expenses. Today's call is also being webcast live at boydgaming.com and will be available for replay in the Investor Relations section of our website shortly after the completion of this call. So with that, I would now like to turn the call over to Keith Smith. Keith?
Keith Smith: Thanks, Josh, and good afternoon everyone. The third quarter was another solid performance for our company. Our operating model and management teams are successfully meeting the challenges of the current economic environment and continue to deliver consistent results. As we look at the third quarter, what stands out are the sequential consistency in consumer trends, the year-over-year growth and play from our core customer and the continued operational efficiency driven by our teams. Starting with our financial results, revenues were $877 million, up 4% from the prior year while EBITDAR was $338 million with a margin of 38.5%. On a sequential basis our third quarter results were right in line with the solid performances we delivered in each of the last several quarters as our business continues to perform at a high level. Throughout the third quarter and continuing into October, customer spending has been very consistent with the trends we have seen throughout this year. And while there are clearly headwinds in the economy, we have not seen any evidence of meaningful change in our customers' behavior. During the quarter, rated guest frequency held steady and play from customers on our database continue to increase. Play from our core customers is the foundation of our success and this segment in particular continues to grow increasing 5% during the quarter. This increase in play from our core customers helped to offset year-over-year declines and spend from retail customers, which was at elevated levels last year due to stimulus. In terms of non-gaming revenue, we're seeing solid growth. Hotel revenue for the third quarter grew 5% over the prior year, while total rooms occupied were 6% higher than last year in cash room rates rose. Importantly, we are filling our hotel rooms with high quality guests as gaming revenue from our hotel guests rose nearly 10% year-over-year. Looking ahead hotel reservations are trending above 2021 levels and are surpassing 2019 levels at many of our properties. Our food and beverage business is also growing with revenues rising 11% over the prior year driven by increases in both covers and average check. On the expense side of the business, our operations teams are effectively managing the overall cost structure of the business while dealing with the inflationary pressures that exist in the economy today. Despite the challenges of the current economic environment, we are successfully maintaining a disciplined approach to operating our business. Total company-wide operating expenses in the third quarter were essentially unchanged from both the first and second quarters this year and our operating margins remain more than 1200 basis points ahead of our pre-pandemic levels. Moving into segment results, our Las Vegas Locals segment continued its pattern of excellent performances. Third quarter was our Locals segment's second best third quarter in margin performance trailing only the record results from last year, which was benefited from continued stimulus in the market. Compared to pre-pandemic levels, our Locals performance was consistent with the improvements we saw in the first and second quarters of this year. EBITDAR for the quarter was up 74% from the third quarter of 2019 and margins have been consistently at or above 50% since the first quarter of 2021. While total gaming revenues in the region were down slightly, play from our core customers continue to grow rising 2% against the robust third quarter comparison last year. Moving to Downtown Las Vegas, revenues, EBITDAR and margins all grew over prior year as we achieved a record third quarter EBITDAR and margin performance. During the quarter, we saw a strong growth in play from our Hawaiian guests. While overall visitation from our Hawaiian guests is still below pre-pandemic levels, total play from Hawaiian guests was 7% higher than the third quarter of 2019. This segment also benefited from a full quarter of contributions at Main Street Station, which opened in early September last year.  And in our Midwest and south segment, business trends remain consistent with the last several quarters, excluding our online business and Sky River management fee, revenues rose slightly over the prior year. Total gaming revenues for the region were in line with the prior year, while play from our core customers increased 5%. For the segment, property margins remain steady around 40% and relative to 2019 EBITDAR was up consistent with the first and second quarter of this year, rising more than 35% from pre-pandemic levels with margins improving more than 1100 basis points. As we look forward, we believe gaming revenue will return to more normal growth in 2023, and our ability to manage costs will result in continued high levels of operational efficiency. Our solid, nationwide operating results will be strengthened by several projects that are beginning to come online. One is Sky River Casino, which opened its stores in Northern California in mid-August. We have seen excellent results since opening with very strong visitation and gaming revenues through the first 60 days. We expect business volumes to moderate as we move beyond the opening phase of this property. However, this strong start demonstrates the high level of demand in the Sacramento market and why we are optimistic about Sky River’s potential. This project will positively impact the Wilton Rancheria Tribe, allowing our partners to finally realize a vision of economic self-sufficiency. We also continue to expand our sports betting partnership with FanDuel during the quarter, launching mobile and retail sports betting in Kansas in early September. Next up is Ohio, where we have begun preparations with FanDuel to launch at the first of the year. By partnering with the nation's leading sports betting brand, we have established a profitable digital business that we expect to generate approximately $30 million EBITDAR in 2022, and we expect further growth in 2023 as we benefit from our new operations in Kansas and Ohio. On top of all of this, we also benefit from the substantial value of our 5% equity ownership in FanDuel overall. FanDuel has been a very successful partner for our company, and we remain committed to expanding and strengthening this partnership in the future. In addition to our partnership with FanDuel, we will be expanding our online gaming operations with the upcoming acquisition of Pala Interactive. We expect to have all regulatory approvals and close on this transaction in the next several weeks. Once the Pala acquisition is complete, we will begin to migrate our two Stardust-branded i casinos in New Jersey and Pennsylvania to our own platform in the first half of next year. We will also focus on growing Pala's B2B business through acquiring new B2B customers and enhancing the platform's products, features and capabilities, benefiting both current and new customers. We believe we have the foundation to successfully build a profitable, regional, online casino operation that leverages our industry-wide experience, our existing geographic presence, and our proven customer database. Pala will provide us the technology, products and management expertise to execute this strategy. Online gaming has become an important part of the growth story for our industry, and we are focused on building a profitable online business that will enhance our existing land-based operations. We will also continue to pursue opportunities for growth through strategic reinvestments in our nationwide portfolio. For example, in Downtown Las Vegas, our $50 million expansion of the Fremont is near in completion. Set to open by year end, this project will include expanded casino floor space, the debut of Nevada's first FanDuel Sportsbook, and a selection of enhanced quick-serve dining options. We believe this expansion will significantly enhanced Fremont's appeal to visitors throughout the downtown area, continuing our growth in that market. We're also investing in Louisiana, where we recently broke around on a $100 million land based-facility at Treasure Chest Casino. Treasure Chest has been a strong performer of our company for many years, but its potential has been limited by its riverboat setting with a small casino floor in modest amenities. Moving to land will allow us to significantly expand Treasure Chest’s non-gaming amenities, creating a more spacious and comfortable casino floor, and improved guest parking. Once complete, in early 2024, we are confident this project will enhance Treasure Chest appeal to both existing customers and new ones, driving long-term growth and business trust. While we continue to strategically invest in growth opportunities, we remain firmly committed to returning capital to our shareholders targeting $100 million per quarter in recurring share repurchases supplemented by quarterly dividend payments. In summary, this was another solid quarter for our company. Customer spending remains steady throughout our business, particularly among our core customer segments driving healthy, stable results. At the same time, our management teams continue to demonstrate their ability to successfully manage cost pressures in an inflationary environment. Our operating margins remain well ahead of the levels we delivered pre-pandemic over 1200 basis points this quarter, and we remain focused on continuing to execute at a very high level of efficiency. Our strong results are a tribute to our team members who continue to deliver exceptional service to our guests. We greatly appreciate all of their hard work and the role they have played in our continued success. Thank you for your time today. I would now like to turn the call over to Josh.
Josh Hirsberg: Thanks, Keith. For the last two years, we have been executing a strategy that is focused on our core customer and operating our business at a much higher level of efficiency than pre-pandemic levels. The third quarter was another example of the continued, successful execution of this strategy. This quarter demonstrated the strength and consistency of our customer and the sustainability of our operating margins. Sitting here today, we have no reason to believe this will change. Our customer trends remain stable and we remain confident in our ability to maintain strong efficiencies throughout our operations. As Keith mentioned, gaming revenue from our core customer continues to grow. This quarter, the gaming revenue growth from our core customer helped to offset declines and spend from the stimulus driven results we benefited from last year during the third quarter. As a result, gaming revenues were essentially even with last year and the consistency of our margins throughout the year demonstrate our ability to manage our business in this environment of increasing cost and inflationary pressures. There are two trends that have continued to be relevant since we reopened our business. These trends were evident in this quarter's results. The first trend is a stable customer gaming spend, the quarterly growth in our gaming revenues when compared to 2019 has been consistent for the enterprise and each of our segments. Comparisons to 2021 continue to be relevant, but noisy given stimulus driven demand and other impacts resulting from the pandemic. Stimulus impacted last year's second quarter as well as a portion of third quarter. For instance, last year July, which is typically an average month in terms of gaming revenue, was the best month for us in all of 2021. July, therefore was our most difficult comparison year-over-year before growth resumed in August and September. Second trend is labor. We have previously spoken about the need to address staffing levels in our business to provide an appropriate level of service to our guests. Over the last several quarters, we have been able to achieve more normalized staffing levels given our current levels of business. One expense category that we have not discussed is marketing. Our marketing reinvestment has remained stable all year long as we remain committed to a disciplined marketing strategy focused on our core customer. So given the consistency of our customer and our ability to manage the major categories of expense that impact our business, we feel we are well equipped to continue to deliver results at a very high level of efficiency. Now, changing gears a bit. During the quarter, capital expenditures were approximately $74 million, resulting in approximately $173 million of capital expenditures invested year-to-date. We expect to spend about $80 million in the fourth quarter, including maintenance capital and continued investments at the Fremont and Treasure Chest. Next year, we would expect to spend approximately $100 million between the completion of the Fremont project and the Treasure Chest expansion, which broke ground last week. In the next several weeks, we expect to complete our acquisition of Pala Interactive for $170 million. This acquisition will be financed through borrowings under our credit facility. In addition to these investments, we are returning capital to shareholders. During the quarter, we repurchased $135 million in stock, representing 2.5 million shares at an average price of $54.57 per share. This brings our actual share account to 104.4 million shares as of quarter’s end. We continue to target $100 million in share repurchases per quarter, but will periodically take advantage of dislocations in our share price as we did during the most recent quarter. Since we resumed share purchases last October, we have repurchased nearly 8.9 million shares for a total of $515 million. We also continue to execute our dividend program, making the latest distribution of $0.15 per share on October 15. Year-to-date, including share repurchases and dividends, we have returned over $480 million to shareholders. We ended the quarter with total leverage at 2.3 times and lease adjusted leverage of 2.7 times. Our target leverage remains 2.5 times. We have the strongest balance sheet in our company's history with low leverage, no near-term maturities and ample capacity under our credit facility, all supported by robust and diversified cash flow. So in conclusion, customer demand remains stable and play from our core customer continues to grow. We remain focused on operating at very high levels of efficiency, maintaining a strong balance sheet, and utilizing our excess cash flow to reinvest in our portfolio and return capital to shareholders. Alex, that concludes our remarks and we're now ready to answer any questions from participants on the call.
Operator: Thank you. [Operator Instructions] Our first question for today comes from Carlo Santarelli from Deutsche Bank. Carlo, your line is now open.
Carlo Santarelli: Hey guys, good afternoon. Thank you for the color. Josh or Keith who up with kind of wants to take it. I was hoping as that Midwest & South line, starts to get a lot of things coming in and things pulling margins in different directions. Obviously with the management, contracts coming in through there now, and you obviously have all of the FanDuel deal including the tax pass-throughs. You did provide some commentary in the release that that talked about the property level performance. But any chance you could maybe provide some parameters around the digital contribution in the quarter from a revenue perspective and perhaps even the management fee contribution. And then do you have any intentions of perhaps starting to split that stuff out as we move into 2023?
Keith Smith: So Carlo, I’ll start and then turn it over to Josh. We are looking at as we move into 2023, starting to break out some of that detail as it is becoming a big number. As it relates to kind of this quarter and probably next quarter, look, the Wilton project Sky River Casino has started off extremely strong. We’re very happy with it. We’re not breaking out the management fee currently. We have said in the past that we’d expect an annual management fee in the $25 million to $30 million range. Quite frankly, it’ll probably be a little bit north of that given the early level of performance. But I caution you and everybody, it is early. We’ve had great opening demand. The property is still kind of working through that opening demand and we’ll see where it settles in. But once again, we’ll provide some more transparency on that starting in 2024. And with respect to some of the online detail, I’ll turn it over to Josh.
Josh Hirsberg: Yes. Carlo, so in the past, we’ve talked about the online revenue that’s strictly related to the tax pass-through amount. And in Q3 that was about $45 million. And then kind of our revenue share component on top of that is another $7 million approximately. So in total online for us was $52 million, $45 is totally revenues and expenses out and $7 million flows right to the bottom line.
Carlo Santarelli: Great. That’s super helpful guys. Thank you both very much.
Josh Hirsberg: Sure. Thank you.
Operator: Thank you. Our next question comes from Steve Wieczynski from Stifel. Steve, your line is now open.
Steve Wieczynski: Yes. Hey guys, good afternoon. So Keith or Josh, I understand you mentioned your prepared remarks, we haven’t seen any distinct changes in your customer spent pattern. But I wonder if I asked that question a little bit of a different way. I guess if you looked at your rated play during the quarter, were there any changes across your – what we call your different tier levels meaning? Did you see any changes on that, that low end, that Ruby level versus the rest of the tiers? Or is it pretty much the same answer that you really haven’t seen any weakening across any of those peer levels?
Keith Smith: Well, look, I think since we’ve reopened after COVID, we’ve seen very stable results. If we look back over the last four or six quarters, our rated, unrated percentages have remained relatively stable. The core customers, our higher worth customers are the ones that are continuing to grow and perform. As we talked about in our prepared remarks, the lower end of the database kind of the non-core rated customers are not performing as well. And then the unrated is – again the unrated is the unrated, but it’s the same frankly over the last four to six quarters. So I don’t know that I can provide much more color, but I’ll let Josh weigh in.
Josh Hirsberg: Yes, Steve, the only thing I would add to what Keith is saying is like if you’re talking sequentially, the trends are generally very stable. It’s when you start to compare to 2021 where you see kind of a softness in the lower end and some of the unrated as a segment. And that’s what’s being all set by the growth in our core customer. And so it depends on whether you’re talking sequentially or from a year-over-year comparison basis. And so just given kind of the robust growth we saw last year is why we kind of backed off from trying to explain it relative to 2021 and just said, look at 2019 as a baseline year and you’ll see everything kind of very – growing very consistently over that baseline year. Sequentially, consumer trends continue to be very stable and it’s really just trying to understand and get around the comparisons when you look at how robust some of the growth was last year, given everything that was going on around stimulus and some of the pandemic related impacts.
Steve Wieczynski: Okay. Got you. Thanks guys. And then Josh, you talked about in your remarks, July was a down month just because of comparisons, and then August and September were up. And I guess I listened to your commentary about October. Is it – and I know October’s not done yet, so you got six more days, but is it fair to assume that October should end of the month up as well?
Josh Hirsberg: I guess, we – I’m a little hesitant to say just because we haven’t seen it all the way. But I would say, we would expect October to be similar to August and September, and I think we would expect to see growth year-over-year in October. I think that’s about what we can say at this point.
Steve Wieczynski: Okay. That’s perfect. Thanks guys. Appreciate it.
Keith Smith: You’re welcome.
Operator: Thank you. Our next question comes from Barry Jonas of Truist Securities. Barry, your line is now open.
Barry Jonas: Hey, guys. Thanks for taking my questions. There’s been a bit of talk about several new properties being built in the next few years across the Vegas Locals market. Would love to kind of just get your views on this evolving supply demand dynamic and how Boyd is positioned. Thanks.
Keith Smith: Sure. So there’s been some announcements, we certainly understand the landscape pretty well and understand the competitive impacts of that. The one that is soonest to open in a year or so or 15 months whenever it is that they open that. We’ll have – look, we have some customers in an area, but it’s not kind of the core market we draw from at any of our local’s properties. And so as we look at that addition to the market, which is really the only significant addition in the next kind of 15 months. We don’t see any significant impact to our business. Will there be some share customers always go and visit new properties, but we don’t expect it to be significant.
Barry Jonas: Got it. And then just looking at the quarter, I noticed on the consolidate P&L maintenance and utilities were up pretty meaningfully. Just curious if that’s impacting any market or segment more than others and how should we think about that going forward?
Josh Hirsberg: Yes. It’s mainly utilities, Barry. And it’s more rate than usage quite honestly. And so obviously, it’s more impactful in Las Vegas given the seasonality of utility usage here in this market. It was a bigger impact here, but it was also an impact to the – but to a lesser degree really across the country. And even if you look at utility expenses year-over-year versus 2021 utility expenses up in each one of the quarters, it was up a lot more in Q3 than any of the previous two quarters. So just the trend in terms of rate increases has been impacting our – that particular expense line item.
Barry Jonas: Got it. All right. Thanks so much guys.
Josh Hirsberg: Sure.
Operator: Thank you. Our next question comes from Joe Greff of J.P. Morgan. Joe, your line is now open.
Joe Greff: Hello everyone. Josh, Keith question for you on the Las Vegas Locals margin results in the 3Q. Margins were down 350 bps points sequentially, little bit lower than what we forecast and I think what Street also forecasted. Do you look at this sequential decline as a function of more traditional seasonality or some incremental permanent OpEx being added and if that’s the case on that latter point, if you can help quantify it? And when you kind of think going into the end of this year into next year, would you expect that segments margins to reflect normal or consistent seasonality? Or do you expect that to be seasonality plus incremental expense?
Keith Smith: Yes. Joe, so I think as you – look, as we look at margins, especially in the Las Vegas locals market, where they’re settling in, in the 50% range really is no surprise and being down from a very, very robust Q3 last year, no surprise. You mentioned seasonality and that is a large part of it. Historically, if you look at 2019 or pre-pandemic, as you moved into Q3, you usually lose 200 plus basis points in margin from Q2 to Q3…
Joe Greff: It seems to be points over the last three years.
Josh Hirsberg: Yes. And so that explains the bulk of it. You also had some shift going with more non-gaming revenue, which comes at a lower margin. But look, overall, the margins are settling in where we thought they would. We’ve never thought – we never thought we would and we’ve said for the last year or six quarters that we would not maintain all this margin improvement. I think we’re pretty happy, we’ve maintained the majority of the margin improvement and we think where they’re settling in is an appropriate level.
Keith Smith: The only other thing I would add to that – the only thing I would add to that, Joe, and it was really kind of the last part of your question around, I think when you look at expense trends for our business so far year to date, they’ve been very stable from quarter to quarter to quarter. So where we’ve seen increases, whether it was labor or to Barry’s question around utilities, we’ve been – our management teams and operating teams have been able to either mitigate expense or reduce expense in other areas so that we can kind of maintain these levels. So it’s not like we think operating expenses are really pressuring our businesses in an extent that we’re not going to be able to maintain these higher levels of operating efficiency. I just think that last year just had a lot of things going forward in terms of spend, we couldn’t fill all the position from a labor perspective. We had less utility costs, as an example. All of the costs to good sold were lower. So I think we were just able to kind of have everything going right for us last year. This year we’re doing a really good job of just managing where we are seeing increases in costs, whether they’re because of inflationary pressures or because of decisions we’re making. So consistent consumer, consistent ability to manage costs and kind of executing at a high level, I think are the takeaways that we – when we evaluated Q3 relative to the recent quarters and recent performance is what we would hope people would take away.
Joe Greff: Great. Thank you. And then as a follow-up, Josh, I believe the Wilton Rancheria Tribe has something totalling about $100 million of advances from you guys over the past several years. Can you talk about expectations to receive these funds from them now that that property’s open?
Josh Hirsberg: Yes, so it’s about 100 – just under $110 million today when you include the advances plus the interest that accrued until they have a business that can start to repay that – repay those loans. So, I think we would – again, it’s a little early, so I think we want to be careful about how we describe the timeframe we would expect to get paid back. But I would expect that just given the early initial signs much better than what we expected, it’ll eventually settle down and then we’ll be able to give people a better understanding of when we would expect to get repaid those amounts. I think it’s premature for us to estimate that at this point.
Keith Smith: Yes. So there is a defined – there’s a defined waterfall approach for the EBITDA, how it gets allocated, and so there’s a path to getting repaid, but it’s based on the profitability of the operation.
Joe Greff: Thank you.
Operator: Thank you. Our next question comes from Shaun Kelley of Bank of America. Shaun, your line is now open.
Shaun Kelley: Great. Thank you. Good afternoon, everyone. Josh, just to sort of beat the dead horse a little bit on the operating environment. When it kind of comes to inflation, it does sound pretty encouraging as it relates to your outlook, possibly even heading into next year. And I’m just trying to think through, is there any reason – do you need much in the way of revenue growth to maintain your cost structure, your margin structure here? I mean, historically what we saw, let’s call it back in the late 2017, 2018, 2019 period was you didn’t need much to kind of control your expense base. Any reason that sort of changes based on what you’re seeing right now in the business as we think about 2023?
Josh Hirsberg: Yes. Shaun, thank you. No, I don’t really think so. I think really what people – I think the – and I hate to sound like a broken record, but everything seems to be pretty stable at this point. And so it’s really about getting beyond unusual comparisons or anything like that, that were related to COVID or the pandemic or just outside spending due to stimulus. The – we’ve got a really good handle today on our expenses, and managing through it. And I think at some point when we get to more normalized performance, we’ll have more normal – more historical growth off of those levels against a very kind of refined expense structure. That’s how I think about it.
Josh Hirsberg: So, I don’t think there’s – I think you described it correctly, Shaun, at the end of the day. Yes.
Shaun Kelley: Great. No, super clear. And then the follow-up, just to sort of change gears to online for a minute. You talked about moving some of the Stardust operations, I think in-house at some point, perhaps next year. Can you just help us think broadly through the accounting applications there, does that mean you start consolidating like directly, revenue and costs attached to the digital casino business? Is that something that would be material in 2023? Just help us think about like, again, not numbers, but maybe parameters, how that might start to flow through the statements?
Keith Smith: Sure. So, as you think about it today, we record basically a revenue share, if you will, in the other line with respect to that. Once we take over ownership of it, kind of fully, then we’ll flow it through as we would any other business operation with revenues, expenses, and profits. And so we’ll look materially different, but as we talked about earlier, we will look to break that out in 2023 so that you’ll be able to see that in more detail. But it would be a full subsidiary of the company with full revenues, expenses, and profits.
Josh Hirsberg: And the only thing I would add – go ahead Shaun.
Shaun Kelley: Sorry Josh.
Josh Hirsberg: I was just going to say relative to where we are today, Palo’s [ph] business will be growing off of a fairly small base in terms of our overall scale today. And it’ll take some time to kind of grow that online business. I don’t, it’s not going to be a significant portion of what’s – what different than what’s showing up in our income statement today really, it’ll just be broken out separately.
Shaun Kelley: And maybe you specifically to the iGaming initiative, is the plan to put significant marketing dollars behind this? Or organically do you kind of see this able to sort of self-fund a little bit as you move into kind of wholly running the business?
Josh Hirsberg: Yes, so as we’ve talked about this and kind of thought about this over the last year or 18 months and been focused on an acquisition in this space, it has been, and we use the terms building a profitable regional online business, and those are the keys. We think that we have obviously a strong presence and a 10 states or 11 states that we’re in, 11 including California. But the core 10 states, we have strong databases, we have strong name recognition, and we think we can build a strong, profitable business. Do we expect to spend marketing dollars to be in a platform position as they say in the industry, be one, two, three, no, that isn’t the goal. We want to have a strong position. We want to be in front of our customers. We want to try and generate some new customers through this, but we would expect to be profitable.
Shaun Kelley: Super. Thank you.
Operator: Thank you. Our next question comes from Dan Politzer from Wells Fargo. Dan, your line is now open.
Dan Politzer: Hey, good afternoon, and thanks for taking my questions. So just given the benefits from Sky River and the FanDuel market access, and the ongoing stability that you’re seeing in terms of the trends, is there any reason that, that you don’t feel good about kind of going back to that original bar you’ve set or well back that full year 2022 EBITDA will be at least up. And then more broadly, as you think about 2023 and the stability of the business, have you given consideration to bringing back full year guidance? Thanks.
Josh Hirsberg: So Dan, I want to be sure I understand your question. Are you saying that, do we expect 2022 EBITDA to be up over 2021?
Dan Politzer: Right. Given we’re pretty much through October at this point, you’ll get the Sky River benefit and the FanDuel market access, is there any reason that the fourth quarter shouldn’t kind of bridge it a full year that’s at least flat?
Josh Hirsberg: Yes. So I’d like to answer the question; however, we’re not giving guidance for either 2022 or 2023. There’s some good analysts out there that have good estimates, and so I think you can use that as a basis for where our business is going to perform.
Dan Politzer: All right, and fair enough. And then in terms of just the regional landscape next year, can you maybe highlight any new properties coming on in terms of competition that we should be thinking about?
Keith Smith: Yes, there really I’m just going to pause for a second and make sure I don’t overlook anything. As we think about the Southern part of the market, there really isn’t through kind of the Louisiana, Mississippi, neighborhood as we think about the Midwest. The Hard Rock in Northwest Indiana opened about a year, 15 months ago, and so that’s not new. There will be the new tribal casino in South Bend, but we don’t have a large market in that property that would impact Blue Chip. Yes, there’s really no new competition in any of our markets that we’re anticipating in 2023.
Dan Politzer: Got it. Thanks so much.
Operator: Thank you. Our next question comes from Chad Beynon from Macquarie. Chad, your line is now open.
Chad Beynon: Afternoon. Thanks for taking my question. In terms of capital allocation, I know you guys have talked about a baseline of a $100 million of quarterly repurchases, and you’ve exceeded that every quarter of this year. Can you just kind of remind us how you’re thinking about continuing that thought and then as we look into 2023 when CapEx increases a little bit, is there anything that we should be mindful of as it pertains to share repurchases or the dividend? Just kind of how you’re thinking about the overall capital allocation strategy? Thanks.
Keith Smith: Sure. So I think the way you should think about it is we’ve been fairly consistent in our messaging that we’re targeting $100 million a quarter and that continues to be our target. And as you think about 20 [ph] whether it be the fourth quarter, as you think about 2023, that should be what you kind of bake into. Your analysis is $100 million a quarter. It has been higher in the past as we’ve taken advantage of what we thought were dislocations in the price to buy a little bit more back. That may or may not happen going forward, hard to predict that. So I would anchor you on the $100 million and there’s nothing in our CapEx plans that would cause us to deviate from that. Same thing with the dividend. The dividend we started that and we started the share repurchase program, quite frankly, looking into the future, ensuring that we were at an appropriate leverage level and that we were confident enough in our operating results and the level of free cash flow that we could continue this uninterrupted. So you should think about the dividend going forward is very solid. You should think about the share repurchase at $100 million a quarter is very solid and through 2023 anyways.
Chad Beynon: Great, thanks. And then, coming back from or I guess when we were out at G2E, there was some extra enthusiasm around, some of the events for 2023 on the strip MSG Sphere, obviously, F1, some other events that are kind of more south of you guys from your downtown properties. But I’m just curious, do you expect to benefit just from these overall events given your hotel inventory and how much kind of spillover has been going down to the strip or downtown would you expect to benefit from all these different items?
Keith Smith: Yes, look, the short answer is yes, or maybe absolutely as the strip fills up, as the strip does better, as more people come to Las Vegas, whether it’s our downtown operations or whether it’s our locals operations. There are leans which has 1,900 plus hotel rooms and a fair amount of meeting convention space. All of that allows us both to fill and to leverage pricing up. And so we will absolutely do better as the town continues to be full, has more unique events, draws more customers into town. So yes.
Chad Beynon: Great. Thanks, Keith. Appreciate it.
Keith Smith: You are welcome.
Operator: Thank you. Our next question comes from Brandt Montour of Barclays. Brandt, your line is now open.
Brandt Montour: Hey, good afternoon, everybody, and thanks for taking my questions. I just wanted to circle back around on the $7 million fees and within digital in the quarter, and assuming that’s sort of FanDuel related revenue share. How are you sort of thinking about that going forward? Is there any reason why that wouldn’t grow sort of one for one with what we all would model for FanDuel revenue growth? And then is there seasonality we should be aware within that line?
Keith Smith: Well there's clearly seasonality, most of the, for the larger share of I would say revenues come during football season. So you think August through February, it starts to tail off with basketball. Summer is pretty soft with baseball, so there's clearly seasonality in the sports betting business; number one. Two, as you think about growth we talked about we launched Kansas in September, and so you'll have that incrementally in 2023. Ohio should launch first of the year. You'll have that incrementally in 2023. How the base business in existing states grow or grows going forward? You have to make your own assumptions about that, but do we expect it to grow from there? Yes.
Brandt Montour: Okay, great. Thanks for that. Helpful. And then you guys were pretty crystal clear about the trends and stability of your rated database play. But I don't think we've checked in a while with you guys in terms of the demos within that database and specifically regarding the older demographic where you're at in terms of recovery and assuming that there's still some gap; are you concerned at all that some of that isn't, ever coming back? And what I'm specifically alluding to is the fact that most of those folks are on a fixed income and in this inflationary environment. Just interested in your thoughts? Thank you.
Keith Smith: Sure. Well as it relates to the older demographic, quite frankly they continue to return to our business. And the theo from that group continues to grow. If you look year-over-year Q3 of this year even over Q3 of last year, which was a very strong quarter for us, the older demographic continues to grow. Will they all come back? It's a hard question to answer. They probably won't, but here's the key. The key is those that have come back even though it's less than what we would've seen in 2019, their worth to us is much greater. And so today we have fewer of that older clientele, but they're worth as much higher and so – and it's continuing to grow, so they're not all back yet.
Brandt Montour: Perfect. Thanks so much.
Operator: Thank you. Our next question comes from David Katz of Jefferies. David, your line is now open.
David Katz: Hi evening everyone. Thanks for taking my question, including me. It covered a lot already. I was wondering if you might be able to speak in some qualitative terms about your vision for Pala once you do get it closed and what the trajectory of that ramp might be. Is this going to be a loss leader for a period of time or neutral and how are we sort of thinking about that as we think about 2023 and 2024 please?
Keith Smith: So look, I think the vision for expanding the online gaming operation is once again to be able to participate in an important growth sector of the business. We're focused on the states where we operate and maybe some key adjoining states. So we call this a regional approach. We're not looking to have a nationwide approach. We expect this to be a profitable business, once again, transitioning Pennsylvania and New Jersey onto our own platform sometime in the first half of next year. And from there, it just depends as states approve this and it rolls out where we're go next. Do we expect it to be a loss leader? The short answer is no. We don't expect it to be a loss leader. We expect this to be a profitable venture for the company. Josh, anything you'd like to add?
Josh Hirsberg: I guess if I was going to add anything is, is like we expect to grow this business in the states we operate as well as states that we drive a lot of customers that are in our database from. So there could be other states beyond where we have a geographic presence that we may have interest. And Keith has been pretty transparent that we don't intend to invest a lot of money and have a lot of losses up front. We expect to be generating free cash flow from this business, and we expect that to be the theme. And so we're going to take it one step at a time to be sure that that's what's happening. It's not like we're entering to an enterprise to have losses either for the short term or intermediate term.
David Katz: Okay. Perfect. Thanks very much.
Operator: Thank you. Our next question comes from Joe Stauff of Susquehanna. Joe, your line is now open.
Joe Stauff: Thanks Keith, Josh. Just a couple questions Keith, I just wanted to follow up on your response on the older customer, you had mentioned that, they are coming back. There is growth that a higher value, say older customers coming back, but I'm curious, are they reacting to maybe a particular promo that you are doing or they just kind of returning naturally? And then I'd a follow up just on, the California stimulus payments roughly 60% of Californians will get something right around now. And is there any precedent to think about, if any of that finds its way into the Las Vegas locals markets at all?
Keith Smith: So with respect to the, the older demographic, no there's not, we're not engaging in specific promotions. Josh talked about the stability of our operating expenses and he didn't highlight the fact that frankly, marketing has been flat quarter-to-quarter-to-quarter. And so we're not increasing marketing as we go through, the 2022. It's been a strong suit of ours to be disciplined and be structured and to be stable on marketing. And so these customers may be responding to normal offers and may be finding their own way back in, they're part of the database, but there's nothing special going on. Respect to the California stimulus to the extent that consumers or customers from California show up in Las Vegas and have more money in their pocket because stimulus checks, yes, we'd expect to get some of it. We do quite a bit of business out of the state of California at all of our properties. And so if they come and they are healthier, then we'd expect to be a beneficiary of that health.
Joe Stauff: Thank you.
Keith Smith: Yep.
Operator: Thank you. Our final question for today comes from Stephen Grambling from Morgan Stanley. Stephen, your line is now open.
Stephen Grambling: Hey, thanks for taking the questions and sneaking me in two follow ups. First, if we focus on that core customer spend, any chance you can quantify where visitation is versus pre-pandemic levels? And then second, how are you thinking about the path to online gambling legislation as you think through the acquisition and ultimate accretion from Pala? Thanks.
Keith Smith: With respect to kind of the online gaming rollout, it is hard to predict, when and how state legislatures will approve this, how long it will take. This obviously is going to be a slower rollout than online sports betting, which exploded pretty quickly over the last several years with some 35-ish states who are now have legalized it, online gaming or iGaming is, as they say right now, is maybe six states. I have no prediction as to who's next and how quickly it will roll out. I think with respect to, visitation trends versus 2019; we don't have that data readily in front of us right now.
Stephen Grambling: Maybe just one more follow up on online gambling. I guess do you need to see additional states approved iGaming to kind of hit the underwriting assumptions?
Keith Smith: No not at all. This is a profitable business that we bought, so it has an existing profit base built into it. Focused on mainly, the B2B side of the business but they have a B2C side in New Jersey. And so as we just think about what we've already outlined here today. We will be fine as we think about kind of a return on this investment.
Josh Hirsberg: And Stephen, the only other thing I would add is and Keith's prior point, we basically bought the business assuming no further expansion beyond what was approved already. But the other thing I would say is, this does not impact the FanDuel relationship at all. We have a great relationship with FanDuel, revenue share continues just like it is today. And so both of these will be kind of components of our online strategy with FanDuel representing the sports betting side of things for us and Pala helping us build out our own iCasino portion of it.
Stephen Grambling: Helpful. Thanks so much.
Josh Hirsberg: Sure.
Operator: Thank you. We have no further questions for today, so I'll hand back to Josh for any further remarks.
Josh Hirsberg: Alex, thank you much and thanks everyone for joining today and if anyone has any follow-up questions, feel free to reach out to the company.
Operator: Thank you for joining today's call. You may now disconnect.